Operator: Welcome to the Dominion Energy Second Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to David McFarland, Vice President of Investor Relations and Treasurer.
David McFarland: Good morning, and thank you for joining Dominion Energy's Second Quarter 2025 Earnings Call. Earnings materials, including today's prepared remarks, contain forward-looking statements and estimates that are subject to various risks and uncertainties. Please refer to our SEC filings, including our most recent annual report on Form 10-K and our quarterly reports on Form 10-Q for a discussion of factors that may cause results to differ from management's estimates and expectations. This morning, we will discuss some measures of our company's performance that differ from those recognized by GAAP. Reconciliation of our non-GAAP measures to the most directly comparable GAAP financial measures, which we can calculate are contained in the earnings release kit. I encourage you to visit our Investor Relations website to review webcast slides as well as the earnings release kit. Joining today's call are Bob Blue, Chair, President and Chief Executive Officer; Steven Ridge, Executive Vice President and Chief Financial Officer; and other members of the senior management. I will now turn the call over to Steven.
Steven D. Ridge: Thank you, David, and good morning, everyone. Since the conclusion of the business review last year, we've focused on 3 principal priorities: first, consistent achievement of our financial commitments; second, continued on-time achievement of major construction milestones for the Coastal Virginia Offshore Wind project; and third, constructive achievement of regulatory outcomes that demonstrate our ability to work cooperatively with regulators and stakeholders to deliver results that benefit both customers and shareholders. As we successfully execute against these priorities, we both empower our employees to provide the reliable, affordable and increasingly clean energy that powers our customers every day, and we position ourselves to deliver on the commitments we made to our investors at the conclusion of the business review. We believe that consistent execution against these commitments will deliver compelling value for our shareholders. We had another strong quarter of execution across each of these priorities. I'll begin with our financial results, and then Bob will address CVOW and regulatory progress. As shown on Slide 3, second quarter operating earnings were $0.75 per share, which includes $0.02 of RNG 45Z credits and $0.01 of better-than-normal weather. Relative to second quarter 2024, positive factors for the quarter included $0.07 from regulated investment growth, $0.07 from increased sales and $0.05 from our DESC rate case settlement in 2024. Second quarter results also included a $0.07 impact from the regular cadence refueling outage at Millstone Unit 3. Second quarter GAAP results were $0.88 per share. A summary of all adjustments between operating and GAAP results is included in Schedule 2 of the earnings release kit and a summary of all drivers for earnings relative to the prior year period is included in Schedule 4 of the earnings release kit. We're reaffirming existing financial guidance, including 2025 operating earnings per share of between $3.28 and $3.52, inclusive of RNG 45Z income with a midpoint of $3.40. Turning to financing on Slide 4. As highlighted on our last call, we've completed our 2025 ATM equity, and we've taken steps this quarter to also derisk our 2026 ATM program. We view this level of steady equity issuance under existing programs in the context of our sizable growth capital spending program as appropriate to keep our consolidated credit metrics within the guidelines for our strong credit ratings category. We remain very focused on balance sheet conservatism, and there is no change to our previously communicated credit-related targets. Turning briefly to sales. We're continuing to see strong sales in our service areas, driven by continued data center expansion and economic growth. Notably, 9 of our top 10 all-time peak days in Virginia have occurred this year, including 6 in the last 6 weeks, and our all-time peak in South Carolina was set just a few days ago. With regard to data center activity, we will refresh our standard detailed disclosures later this year, which will highlight our growing contract backlog. But in the meantime, I'll just say that data center interest is as robust as we have ever seen it. We look forward to continuing to meet this demand as we always have in a timely and responsive way that allows us to reliably and affordably serve all of our customers. In conclusion, I'll reiterate that I'm highly confident in our ability to deliver on our financial plan, including our 2025 operating EPS and credit targets. We've built our financial plan to be appropriately but also not unreasonably conservative to weather unforeseen challenges that may come our way. With that, I'll turn the call over to Bob.
Robert M. Blue: Thank you, Steven. Before we move into business-specific updates, I just want to take a moment to acknowledge the outstanding work of our colleagues who have carried out our mission thus far this summer. In addition to operating the system reliably to meet the new peaks that Steven just mentioned, they have worked around the clock in consistently trying weather conditions to serve our customers and communities. I'm incredibly proud of our team members for their commitment and dedication to provide the reliable, affordable and increasingly clean energy that powers our customers every day. With that, I'll turn to Slide 5 and address our safety performance. Our employee OSHA injury recordable rate for the first half of the year was 0.28, reflecting the continued positive trend from the last several years. This is a good start. But as we were reminded in March, when we lost our colleague, Ryan Barwick, in a railcar unloading accident, safety is much, much more than just a statistic. Safety is our first core value, and we're redoubling our efforts to drive to 0 workplace injuries. Turning now to the Coastal Virginia Offshore Wind project. We've made consistent and noteworthy progress across all aspects of the project since our last call. As summarized on Slide 6, the project is now 60% complete, just months away from first delivery of electricity to customers in early 2026 and still on schedule for full completion at the end of 2026. It represents the fastest and most economical way to deliver almost 3 gigawatts of electricity to Virginia's grid to support America's AI and cyber preeminence in the largest data center market in the world, support U.S. shipbuilding, including Huntington Ingalls, the largest naval shipbuilding company in the United States and one of our largest customers. And support some of the country's largest and most important military and defense installations. It has robust bipartisan support from Virginia government and congressional leaders, local communities, military and defense interests, the commercial marine industry as well as civic, educational, environmental, labor and community partners. It's created about 2,000 direct and indirect American jobs and generated $2 billion in American economic activity. And finally, it's supported by Virginia law approved by the Virginia State Corporation Commission and fully permitted by federal agencies. Turning to Slide 7. To date, we've installed 134 or 76% of the project's 176 monopiles as well as 100% of the project's 12 penpiles. Today's totals reflect the installation of 56 monopiles and 8 penpiles over the first half of the current installation season. In July, we set a new project record by successfully installing 26 monopiles in a month. Consider that performance relative to the fact that we have 42 monopile installations remaining and 3 full months of installation season left. Note that fabrication of the final monopile is now complete and over 90% of the project's monopiles have now been successfully delivered to Virginia. That effectively means we have just 2 barge loads left to deliver to Portsmouth. With regard to transition pieces, 148 or approximately 84% of the project's transition pieces have now been fabricated, including the 59 that we have already successfully installed. We continue to expect the final transition piece to be completed and delivered to Portsmouth in the fourth quarter. Commissioning of the first offshore substation, which was installed on March 10 is now complete. The remaining 2 offshore substations are 99% and 70% complete, respectively, and on track to be delivered this fall with installation to be completed by Q1 2026 as planned. With regard to turbines, Siemens Gamesa continues to make excellent and on-time progress in the fabrication of the project's turbines. The sections for 58 full towers have been completed with 12 delivered to Portsmouth. In addition, 97 nacelles or 55% are complete and 42 blades have been fully cast. On Slide 8, you can see the start of turbine tower stacking onshore. All 9 deepwater export cables have now been installed and inter-array cabling and onshore work continues on track. Now with regard to Charybdis, our Made in America Jones Act compliant installation vessel. Slide 9 is a great picture of the vessel with the full complement of sea fasteners now installed. And if you'll turn to Slide 10, I'll provide some additional detail regarding vessel status and next steps. We've completed testing of all major systems, including the crane, jacking system, normal and emergency generators and all 7 thrusters. In addition, we've successfully performed the blackout test, which confirms safe integrated operations of all electrical and drive systems during emergency conditions. The remaining tests are commissioning of the final fire zone circuits and testing of the emergency lighting. That puts us confidently in the position to conclude commissioning next week and begin sea trials immediately thereafter. The scheduled duration for sea trials is 8 days, but we're giving ourselves a little cushion by providing a range of up to 14 days. During sea trials, the vessel will recertify many of the tests that were already successfully completed during commissioning. Upon successful completion of sea trials, the vessel will officially enter service and commence the charter with CVOW. It then takes about 10 days to travel to Virginia. We will install our first turbine in September, which is in line with our original schedule. We had expected the vessel to complete sea trials last month, which would have enabled us to begin turbine installation ahead of schedule. However, the electric cable terminations that connect much of the ship's internal communication technology simply took longer to complete than expected. That work has now been complete for several days. I'm disappointed that Charybdis will be arriving later than expected. We don't take lightly missing our timing guidance on any project of this importance. But being this close to completion of the vessel is exciting and an important step toward project derisking. The broader and more important takeaway is the critical value of having the right equipment for this regulated project. I'll provide a specific example. By securing access to the Orion, our monopile installation vessel and installing monopiles prior to scour protection, we eliminated the need to transfer monopiles from a barge to the installation vessel. This resulted in a significantly lower risk installation process, which has now translated into a meaningfully positive impact on our monopile installation schedule. In fact, we're well ahead of plan, installing monopiles at a pace that exceeds any other U.S. offshore wind project to date. That underscores why I'm so enthusiastic about Charybdis despite a slight delay in delivery. It's purpose-built for this work and eliminates the need for barges, which will be instrumental in helping us stay on track with turbine installation. One final note on Charybdis. There's no change to the project cost of $715 million. Turning now to total CVOW project costs. The project's current unused contingency of $222 million is unchanged from our last update and now represents approximately 7% of remaining project costs. Excluding tariff impacts, costs for the project components have remained in line with the prior update. On Slide 11, we provide an update to our potential tariff exposure across discrete tariff categories and illustrative durations. Let me touch on just 2 key takeaways. First, before adjusting for recent public commentary around potential EU and Mexico tariff increases, we estimate that the total impact of tariffs as they exist today through project completion at the end of 2026 would be $506 million. This is slightly lower relative to our disclosure last quarter despite a doubling of the steel tariff due to both working with vendors to identify cost mitigation strategies as well as completing our analysis of the final trade regulations and appendices. Second, while the details remain to be confirmed, if the EU and Mexico country tariffs are increased by 5% each as reported, we expect an incremental impact to the overall project of $134 million. Please note that this estimate is illustrative as we don't have final details of a trade framework with either trading partner. And in the case of Mexico, don't know if tariffs rates will increase at all. Please also note that changes to tariff policy could impact these estimates. This morning, we made our quarterly offshore wind construction update filing with the Virginia State Corporation Commission, in which we increased the total project budget to $10.9 billion, a quarter-over-quarter increase of about $70 million, consistent with our estimate of actual incurred tariff costs plus projected costs through the end of the third quarter, as you see in the table on Slide 11. As a result, we recorded a modest charge this quarter, about $20 million after tax included on Schedule 2 for costs not expected to be recovered from customers in accordance with the cost-sharing settlement with Virginia regulators and our 50% cost-sharing partnership agreement with Stonepeak. These cost and risk-sharing arrangements continue to work as intended to protect customers and shareholders. The updated project cost of $10.9 billion is expected to increase residential customer bills by an average of $0.03 a month over the entire life of the project. And the updated project LCOE of $63 per megawatt hour, inclusive of REX continues to benchmark very favorably with new generation alternatives, including solar, battery and gas-fired generation. Finally, let me address transmission network upgrade costs, which we expected to receive from PJM in July. PJM indicated last week that the earliest they will complete the final decision point will be late September. We continue to await the finalization of those costs by PJM. But importantly, we still do not expect any change in assigned costs of the magnitude of the update we received in February. We'll provide further updates once available. In summary, this project remains consistent with the goal of securing American energy dominance and is part of our comprehensive all-of-the-above strategy to affordably meet growing energy needs. The project fabrication and installation are going very well, and CVOW continues to be one of the most affordable sources of energy for our customers. Turning now to the regulatory landscape on Slide 13. You see meaningful progress across a variety of fronts. Let me provide updates on just a couple of those efforts. We continue to work through the regulatory approval process to construct and operate the Chesterfield Energy Reliability Center, a 1-gigawatt natural gas-fired electric generating facility. The Attorney General's office has filed testimony supporting the project. Commission staff testimony is due on August 19 with a hearing scheduled for September 23. The Virginia biennial review proceeding remains on track. We're currently in the testimony phase with respondent testimony filed on July 16 and commission staff testimony submitted on July 30. We're actively reviewing intervenor testimony, including submissions from the Attorney General's office and most recently, the commission staff, which proposed a 9.8% allowed return on equity. That's 10 basis points higher than our currently allowed ROE. To date, the positions presented align with expectations for a standard regulatory proceeding. There's one nuance I want to be sure everyone is aware of as they compare company and intervenor positions. About $200 million of the headline difference between the company and the party's proposed 2-year revenue requirement is related to capacity expense and is really not a difference at all. We filed our case before the so-called Shapiro settlement was approved and therefore, reflected a higher capacity expense for both years. Both AG and staff filed revenue requirements that reasonably use the Shapiro cap implied capacity expense. An adjustment that, one, we supplied and agreed with; and two, is profit neutral. That adjustment alone accounts for about 40% of the, as I mentioned, headline differences between the company and staff's position. We look forward to continued engagement with all parties and anticipate a final order in November. Turning to South Carolina. In May, policymakers in the House and Senate passed legislation that was then signed into law by Governor McMaster that takes meaningful steps to address future generation needs of the state, including authorization for new joint gas resource development with Santee Cooper, permitting reform and regulated investment recovery, including an electric rate stabilization mechanism similar to what already exists for gas utilities in the state. We're appreciative of the significant time spent by the legislature on this important bill, and we see these efforts as supportive of our stated aim to contribute to the success of South Carolina's robust and growing economy. Additionally, on June 30, the Nuclear Regulatory Commission approved Dominion Energy South Carolina's application to extend the operating license for the VC Summer Nuclear Station for an additional 20 years through 2062, ensuring supply of reliable carbon-free power for decades in South Carolina. Overall, we continue to achieve constructive outcomes in all of our regulated service areas. Lastly, on the topic of governance. Consistent with corporate best practice, we've maintained a regular cadence of Board refreshment. Effective June 25, Paul Dabbar stepped off our Board upon his confirmation as the U.S. Deputy Secretary of Commerce. Paul was an exemplary Board member with deep insights across many relevant topics for our company, industry and country. We thank Paul for his service, and we wish him well in his new role. Also effective June 25, our Board elected Jeff Lyash to serve as a new independent Director. As former President and CEO of the Tennessee Valley Authority, Jeff brings more than 4 decades of experience in utility operations, power operations and generation construction and public policy and regulatory matters, particularly in nuclear energy to the Board of Directors. We welcome Jeff to our Board and look forward to working with him. With that, let me summarize our remarks on Slide 14 with a focus on our 3 priorities: consistently achieving our financial commitments. We're off to a strong start in 2025, continued on-time achievement of major construction milestones for the Coastal Virginia Offshore Wind project and achieving constructive regulatory outcomes that demonstrate our ability to work cooperatively with regulators and stakeholders to deliver results that benefit both customers and shareholders. I was highly confident in the plan we announced early last year, and I'm even more confident today as we continue to see opportunities for additional investments supporting customer growth across the value chain. We'll include those opportunities, which bias toward the back end of our plan and future updates. We're committed to delivering reliable, affordable and increasingly clean energy to our customers. And as I've said repeatedly, we remain laser-focused on consistent execution. With that, we're ready to take your questions.
Operator: [Operator Instructions] We'll take our first question from Nicholas Campanella with Barclays.
Nicholas Joseph Campanella: So you went through a lot of detail on the offshore wind. But I just wanted to kind of confirm September COD for the ship now, monopiles are going better than planned. Can you just maybe talk about and expand on where you have slack in the time line, I guess, if the ship does see further hiccups? Just how comfortable are you that you can make up that in the schedule? And to our understanding, there's no periods around turbine installation, so that could be done 24/7. Is that correct? And just overall confidence level there?
Robert M. Blue: Yes. Confidence level is very high, Nick. Let me just -- one modest correction in the question. We don't expect to ship in September. We expect it in August. We'll start sea trials next week. Those take 8 to 14 days. And then once the ship is done sea trials, then it moves to the CVOW project immediately. There will be a transit period about 10 days to get up to Virginia. But fundamentally, we're highly confident in the schedule. You are correct. There are no time of year or time of day restrictions on installing turbines the way there have been with monopiles. But as we mentioned in the script, what really gives us confidence is the derisking associated with this kind of installation. It really has made such an extraordinary difference in monopile installation to not have to pick up monopiles onto a barge and then pick them up off the barge onto the installation vessel. So the same thing is going to happen with Charybdis. And you can see in the photos where we have the equipment, the sea fasteners on the deck to take the nacelles, the monopiles and the blades, and they'll be picked up directly from Portsmouth, where we already have a supply waiting. Siemens has mobilized there. So we're in a very strong position to get installation on schedule and remain on track.
Nicholas Joseph Campanella: Okay. Appreciate that. And then just, I guess, on the financial execution, you've had a strong start so far year-to-date. Just where do you kind of stand within the fiscal '25 range? And then are you trending at or above the midpoint at this point? And I also just wanted to ask about your view longer term just since the business review, if you kind of take stock of what's happened outside of offshore wind between Carolinas legislation New England prices. I know the RNG was extended as well. Just what's the offset that kind of keep you more towards the midpoint of your long-term EPS range at this point?
Steven D. Ridge: Nick, we've had a strong start to the year, as you mentioned. We benefited from some tailwinds, both weather and sales. Typically, if you look at our cadence, we'll use the third quarter call to narrow our guidance range or bias our guidance range towards the top half, for instance. And I think we're going to stick with that because Q3 is our biggest quarter from a sales perspective. I would just say that if we continue to benefit from those same tailwinds, we are biased to the top half of the range for the year, but we need to continue to see execution on sales and presumably persistence of the weather we've accrued year-to-date. So we feel really, really good about the year, but don't want to get ahead of ourselves just yet. I want to make sure we get one more quarter of strong results under our belt, and then we'll be in a position on the third quarter call to give more definitive guidance on that. With regard to the longer term, I'm going to let Bob take that, and I'll jump in with any other comments.
Robert M. Blue: Nick, great question, and you did mention some tailwinds that we find valuable. But if you think about where we've been, we announced the plan, the new plan in March of last year. And we said then, and we said again just a few minutes ago, that we believe it's really important to demonstrate consistent execution against our financial targets. Our investors tell us, and we believe ourselves that, that kind of consistent performance over time is what is most important. So we're going to continue to assess our plan. And if we think there are opportunities to improve when we're confident when those opportunities meet our criteria of appropriately conservative assumptions, then we'll incorporate them. But our focus, and I say it often, I said it on the prepared remarks, I'll say it again now, is consistent execution on the plan we presented, and we are highly confident in our ability to do that.
Steven D. Ridge: And Nick, you mentioned the extension of the 45Z credit, which is, of course, positive. I think we're likely to head to the words, the approach we've taken thus far. We think investors have valued the transparency we've provided by putting it outside of our base operating earnings. And that gives them an opportunity to independently value that without us lumping it together. So I think most likely, you'll continue to see us take that approach. We haven't made a final decision on that, but I think that's where we're biasing at this point.
Operator: Our next question comes from Carly Davenport with Goldman Sachs.
Carly S. Davenport: Maybe just to start on CVOW. Just any color on the reason for the PJM delay in terms of the cost update for network upgrades. And then I think the language on the slides was at the earliest September. Just is there any deadline that we should be thinking about in terms of when they have to provide that update to you?
Robert M. Blue: Yes. Thanks, Carly. Look, I don't think it's news to anyone listening in that PJM has got a lot going on these days. So I wouldn't read anything more into it than that. As we said in our prepared remarks, we don't expect any change that would be anywhere near the magnitude of what we experienced in February. And there's no sort of regulatory or statutory deadline for PJM. They just need to get through the work and do the modeling, and that's what they're doing right now.
Carly S. Davenport: Got it. Okay. Great. And then maybe just shifting to the biennial. I guess, any views on staff recommendation and any indication of what the issues will -- which as you will be in focus for Dominion as we kind of head into company rebuttals in a couple of weeks here?
Robert M. Blue: Yes. Well, as we noted in the prepared remarks, the biggest sort of headline number isn't a dispute. So that won't take very long to resolve. That's the capacity expense that changed after we filed the case. So we presented the impacts of what happens with the Shapiro settlement, which was then approved. So that's not going to be an issue. The rest is the sort of normal course kind of things that you would expect in a regulatory proceeding. What's the appropriate ROE? Are certain O&M costs appropriate or not? Do we have certainty on some of the capital spend, which we do. So it's -- I said before we filed the case that I didn't think there was going to be anything exotic. There isn't anything exotic -- so we'll have the hearing starting next month after we file our rebuttal testimony later this month, and we'll move through those issues. But nothing unusual.
Operator: Our next question comes from Jeremy Tonet with JPMorgan.
Unidentified Analyst: This is actually Diana on for Jeremy.
Robert M. Blue: Yes, I was thinking you didn't sound exactly like Jeremy.
Unidentified Analyst: Not quite doing well. I hope you are too. So I was wondering how you think about impacts from the OBB across Dominion? And then I'll have a follow-up maybe.
Steven D. Ridge: I'll take that one. We're quite pleased with where -- what we've come to refer to as OB3, which is a little bit of a Star Wars sounding name. We're quite pleased with how OB3 landed. If you think about -- when you think about legislators rewriting a tax code, there's a lot of things that could potentially move against you. And on the whole, I think it's been quite positive. The area that we and I think others are very focused on, of course, is eligibility for tax credits. And we're confident we can preserve all of the credits that we've provided in our forecast to investors, either through safe harboring or under long-standing rules, I think, as some of our peers have described or because they're simply not impacted. So for instance, the Coastal Virginia Offshore Wind project is not impacted. Many of our clean energy solar filings are effectively not impacted. When you look at the total tax credits that we've provided in the Q4 disclosures, there's really only about 20% to 25% that sort of requires some active mitigation. And as I mentioned, we expect to be able to achieve that and have plans to do that. And just keep in mind, these are regulated projects. So we actually have a requirement under Virginia State law to build those projects. We're so very focused on customer affordability. We're going to leave no stone unturned to make sure that we take advantage of everything we possibly can to make sure that, that benefit passes through to our customers.
Unidentified Analyst: Got it. And like as regards to those plans to safe harbor, would you pull forward any projects to potentially do that?
Steven D. Ridge: We wouldn't likely pull forward the in-service dates. But as normal course goes with safe harboring, we're generally actively involved in working and spending capital on many of the projects that are through our projections of 2029. So it doesn't -- much of our mitigation doesn't require anything particularly out of the ordinary for us, and it wouldn't necessarily include bringing CODs up.
Operator: [Operator Instructions]
Robert M. Blue: Well, it doesn't appear we have other questions in the queue. So this -- thanks, everyone, for taking the time to join our call today. Enjoy the rest of your day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.